Operator: Good morning and welcome to Entercom’s First Quarter 2016 Earnings Release Conference Call. All participants will be in a listen-only mode. This conference is being recorded. I would like to introduce your first speaker for today’s call, Mr. Steve Fisher, CFO and Executive Vice President. Sir, you may begin.
Steve Fisher: Thank you, everyone and thank you operator and thank you everyone for joining us for today. Happy May. I would like to welcome you to Entercom Communication’s earnings conference call. This call is being recorded. A replay will be available on our company website shortly after the conclusion of today’s call and also available by telephone at the replay number noted on our release. With notice of today’s call, we had asked that you submit your questions in advance of this call. In addition, I am always available for any follow-up questions, if you would wish to call me directly at 610-660-5647. Should the company make any forward-looking statements, such statements are based on current expectations and involve risks and uncertainties. Company’s actual results could differ materially from those projected. Additional information concerning factors that could cause actual results to differ is described in the company’s SEC filings on Forms 10-Q, 10-K and 8-K. The company assumes no obligation to update any forward-looking statements. During this call, we may reference certain non-GAAP financial measures. We refer you to our website at entercom.com for a reconciliation of such measures and other pro forma financial information. So with that, let me turn it over to David Field, President and Chief Executive Officer.
David Field: Thanks, Steve. Good morning, everyone and thanks for joining our first quarter earnings call. I am very pleased to report that Entercom started the year off on great note delivering an outstanding first quarter. Net revenues were up 23% enhanced by our 2015 acquisitions. But the bigger news is that we had another great quarter of organic revenue growth. Same station revenues increased 6% for the quarter. And we also grew our margins enabling us to drive robust bottom line growth. Adjusted EBITDA was up 32%, free cash flow and earnings per share both more than doubled. In sum it was a terrific quarter. What is important to note is that is part of an increasingly consistent pattern of Entercom delivering solid growth quarter-after-quarter. This now marks the fourth consecutive quarter of accelerating organic revenue growth for Entercom. And as you will hear in a few moments our pacing's looks strong for the remainder of the year and we are optimistic about our ability to continue to generate strong same station growth. After I provide you with some additional color on our first quarter numbers I have a couple of announcements to make and then we’ll brief you on some recent developments. Our first quarter local revenues were up high single digits. National was down low single digits, but recovered nicely in March. We grew our revenue market share significantly during the quarter. In fact only two of our 23 measured markets lost share during the quarter. Our 6% growth compared to low single-digit growth for our markets. January was the weakest month of the quarter. Political revenues were under 1% of our quarterly sales. As a result our same station revenues excluding political were up 5%. Our best performing markets during the fourth quarter were Miami, San Francisco, Seattle and Indianapolis. Our best performing categories were auto, health and medical, and restaurants. It’s worth stepping back and taking a longer term look at the trends in our business over the past few quarters. This was our fourth straight quarter of mid single-digit or better organic local revenue growth. And if we look at our last 12 months versus the prior 12 months on a same station basis, our revenues were up 3% overall and up 4% ex-political. Over the same period our free cash flow was up 21%. And in addition our leverages declined from 4.5 times to 4.0 times over the past year notwithstanding the fact that we completed the Lincoln and Los Angeles acquisitions during the period. Our performance is being driven by many factors. Most notably our strategic focus on building strong local radio brands with compelling personalities and content and developing best in class marketing solutions for our customer’s along with enhanced local sales execution and capabilities. Our team across the country is doing an excellent job of executing our game plans and delivering results. On the heels of this terrific quarter, I am very pleased to announce that the Entercom Board has approved the initiation of a cash dividend program and announced an initial dividend payable this June. The dividend has been set at $0.075 per share per quarter or $0.30 a share annually. The Board's decision reflects its confidence in the company’s strong operating performance, significant cash flow generation, moderate leverage, and excellent growth prospects. Based on our current stock price the dividend represents just under a 3% yield. It is noteworthy that the dividend equals just 17% of our trailing free cash flow. That means we will have ample capacity to continue to invest in our business, pursue compelling growth opportunities, and reduce debt while delivering immediate cash returns to our shareholders. We are also continuing to make progress in a number of other areas. Our focus on great local brands in content continues to pay off for us in the ratings as Entercom remains a leader in [indiscernible] ratings growth. And we are continuously looking for ways to bolster our programming and grow our audiences and deepen their engagement. For example since the start of the year we have added a number of new air personalities, most notably at Star in Atlanta and have successfully rebranded two of our stations in Miami and San Diego. And I am pleased to report that we have entered into an agreement to become the flagship radio broadcaster for the San Diego Padres. Starting in 2017 and continuing through 2021, our FM 94.9 in San Diego will be the home for all the Padres games. FM 94.9 will retain its alternative rock format offering our listeners a unique combination of great music, sports and local personalities. In addition last Thursday, we announced the renewal of our agreement with the Boston Red Sox, which will make our station WEEI the team’s home through 2023. We have enjoyed a wonderful long-term relationship with the club and are delighted to continue our partnership well into the future. Turning to current business conditions, second quarter is pacing up 4% on a same station basis. We are experiencing strong growth in auto, professional services, restaurants, and home furnishings. Political advertising remains inconsequential for the quarter, although we expect a nice lift from election related spending beginning in September. And while it is very early, our pacings for the second half of the year are quite strong. Looking to the future, enhanced audience data and behavioral insights will enable us to drive higher value ad sales. Expanded distribution of our brands over innovative platforms like NextRadio will enable additional opportunities for enhanced integrated marketing revenues. We have high expectations for our SmartReach digital business which we hope will grow into a meaningful player in the digital marketing solutions market. We see nice expansion opportunities in the events business and perhaps most meaningfully as other competitive ad supported media continue to experience meaningful erosion of their audiences and disruption of their business models, we think radio, now the country’s number one reach medium, has an outstanding opportunity to grow its share of ad dollars in the years ahead. In sum this was an excellent quarter for Entercom on essentially every level and we are very well positioned for solid growth for the remainder of 2016 and beyond. We are driving strong organic revenue growth, growing brands and audiences, improving sales execution, pursuing solid expense management, and making significant progress across a number of strategic initiatives that are enhancing our capabilities and growth potential. And we offer our investors terrific value with our stock providing a 15% trailing free cash flow yield with a very solid balance sheet, strong organic growth, a great portfolio of local brands and content, and number of value creating growth drivers and now a dividend as well. With that I’ll turn it over to Steve before we answer your questions.
Steve Fisher: Well, that is great, and as you just told what a great way to start 2016. Our brands and operating team are driving solid ratings growth, industry-leading revenues, and all that leads to EBITDA and margin expansion and impressive free cash flow growth. Clearly a great quarter, but as we start this New Year its relevant to point out this is also a continuation of a strain of strong quarterly results this team has delivered to shareholders. Our acquisitions of last summer are performing great. Both our new properties and our core operations are exceeding market and industry growth rates. We’ve reduced debt and significantly improved our already solid balance sheet. I'm particularly pleased to point out to you today that our leverage for the past quarter was at 4.0, which means that today May 2, we are effectively below that benchmark metric, which leads to the announcement today of a dividend program. The dividend declared today at $0.075 per share that David mentioned will be payable on June 15th to shareholders of record of May 25th. Looking at few financial highlights of the first quarter, we discussed on the recent earnings calls our expense improvement actions over the past few quarters at our newly acquired properties. So as compared to the prior owner’s expense model we have reduced station operating expenses on these new stations while simultaneously driving brand and revenue growth. Our core station expenses are also well managed as you’ve come to expect from us. Continuing our strong history or expense management while still investing significantly on local content and capabilities, our core expenses for the quarter were up less than 2% which is primarily a function of variable expenses on core revenue growth. Our corporate G&A expense in the quarter was about -– was $6.2 million. A side note, with the announcement last week of a new multi-year contract for Entercom’s CEO and a related one-time bonus triggered by this contract, I expect second quarter, this current quarter, second quarter G&A to be about 7 million to 7.2 million and then drop to about 6 million per quarter for the second half of the year. Non cash compensation expense was 1.5 million in the first quarter and I would expect the next three quarters for the remainder of 2016 to be about 1.6 million per quarter. Net interest expense for the first quarter was 9.4 million which includes about 800,000 in amortization of non-cash interest related items. D&A was 2.4 million for the quarter and represents a pretty good run rate for your models for the remainder of the year. In the first quarter we completed the sale of an AM station in Denver for 3.8 million which resulted in a small book gain for the quarter. Our quarter's GAAP book tax rate was about 17%. Now this was lower than normal due to a purely unique onetime state provision adjustments. Looking forward we believe our GAAP book tax rate should be above 40% but is always subject to fluctuations. And as I love to point out on these calls that is a non-cash tax provision in our financial statements as we do not pay cash income taxes nor expect to for a few years. Turning to balance sheet, significant progress. We finished the quarter with net debt net of cash of approximately 554 million. This resulted as I said earlier in the pro forma leverage of 4.0 as defined in our credit agreement and represents great progress and further strengthening our already solid balance sheet. Our CAPEX for the quarter was lower than prior year and frankly lower than our initial plans due to expenditure timing. We have a few station, studio, relocation projects planned this year but we now think that the timing for a portion of these will spill over into next year 2017. So our current thinking for 2016 CAPEX for the full year is 7 million to 8 million which is a slight reduction from prior guidance. We have great free cash flow generation. In spite of some expensive 10.5% coupon notes that were placed four years ago during a period of credit market turmoil. This higher interest expense is serviceable but represents future opportunities for savings. Those notes, those expensive notes became callable a few months ago in December but at a premium. Clearly our credit profile has dramatically improved over the past year and we are well aware that debt markets have improved in recent weeks, although not quite back to the rates or just as importantly, the terms and conditions seen last summer when we had hoped to refinance. We were also mindful that our bond called premium steps down by several million dollars this fall. In fact that factors into our thinking as we consider the tradeoff of reduced interest rate versus the overall upfront cost of replacing some of them or all of our existing credit facilities. So we continue to monitor market developments but simply put its all good. As we continue to delever into the rest of the year, our reduced leverage and improved credit profile should open up additional favorable financing options for the benefit of shareholders. With a business model that provides outstanding free cash flow generation, the commencement of a quarterly dividend, the benefit of our significant NOLs to shield future earnings, a future potential reduction in cash interest coupled with high insider stock ownership Entercom clearly is an attractive platform for both debt and equity investors. So with that lets go to the questions submitted in advanced David there were quite a few. They all followed a similar profile and again for those listening or on reading transcript if you’d like any follow up feel free to give me a call Steve Fisher at 610-660-5647.
A - Steve Fisher: David let me start first with the macro from Avi Steiner at J.P. Morgan.
Avi Steiner: Great quarter. Any issues to suggest that your core radio ad growth rate can’t continue throughout 2016?
David Field: None at all. In fact as we mentioned in the remarks Avi, pacings looked very strong for the remainder of the year and our core organic metrics looked really good. And I would say that even beyond 2016 I had noted that there were just a number of investments we’ve made into the future and as we see trend lines for the industry and so forth we are pretty optimistic and feel pretty good about our growth rates not just this year but into the future.
Steve Fisher: Let me dovetail off of that then with a question from Marci Ryvicker at the Wells Fargo Securities.
Marci Ryvicker: You mentioned second quarter and looking forward, how the Q2 starts specifically April and how do you see May, June?
David Field: Yes, April was a little softer than May and June, but still a solid growth month. And so there's not a huge disparity between the individuals months of the quarter.
Steve Fisher: Then we go to a question from Mike Kupinski at Noble, which by the way also represented a few people.
Michael Kupinski: First, they had – Mike had asked for the data point for Q1 political?
Steve Fisher: First quarter political were about $800,000 in 2016. That was versus first quarter of last year of about $100,000.
Michael Kupinski: Now let me go to Mike’s question which is broader and reflects several others. How do you see political shaping up for the year?
Steve Fisher: And I’ll call it as phrasing the question to Trump effect, the buzz out there that perhaps Trump is not spending as much money as others and do you see an impact on the business model?
David Field: Yes, the pattern this year was playing out consistently with what we've seen in prior elections. We don’t tend to see much radio, political advertising in the first half of the year or shall we say during the primary season. So we don’t see anything unusual there. And candidly as we look to the fall and presuming that it is a Donald Trump and Hillary Clinton election, would have no reason to expect anything different from what we've seen in the past. First of all, much of the political revenue we receive is down ballot either on federal or state or local elections. And on a federal level too who knows what we're going to see in the fall and clearly we’ll see a lot of third-party action as well in what will be a highly unusual election cycle.
Steve Fisher: And let me take the liberty of dovetailing back. I gave Mike the data point on first quarter political of $800,000. That’s actually an increase of our prior cycles for what it’s worth. Lets again, in a theme of looking forward, let’s – let me go to a question from Aaron Watts at Deutsche Bank.
Aaron Watts: David, do you have visibility in the third quarter and third quarter pacings at this time you’d like to share?
David Field: Yes, we -– third quarter and fourth quarter pacings looked very, very strong as we noted earlier. And again it’s very early and it’s not something that we want to hang our hat on but directionally it looks good.
Steve Fisher: I’m going to go to questions from Kyle Evans at Stephens and several people ask related.
Kyle Evans: First Kyle asked for a data point on auto as a percentage of sales.
Steve Fisher: I’ll take that, David. Kyle, and those on the group, auto’s been fairly consistent as mid-teens. It is our largest category. I always remind people because there have been some questions on the Star rates. I also remind people that it’s besides the new car which you always -- see represented used cars, tires, parts, batteries, financing. So auto obviously a large category but performing very well.
David Field: Yes, we see – we saw strong growth in the first quarter and we see strong pacings in the second quarter and again on a very early basis auto looks strong for the duration of the year.
Michael Kupinski: Let’s go to the programming side. You did mention ratings, David, from Mike Kupinski at Noble Financial, coming back to him, can you talk – and I think you addressed some of this in your script; can you talk about investments you’ve made in the quarter and local content and talent?
David Field: I mentioned the morning show edition in Atlanta on Star, which we're very excited about, and the rebrandings we've done in a couple of stations in San Diego and Miami which are also off to good start. And we continually look for opportunities to add strong local talent where we see -– again, where we see opportunities across the country. And that’s been a core element of our growth over the -– over recent years and I think you should expect that something we’ll continue to do into the future.
Michael Kupinski: Let me stay with a follow up question from Mike at -- Mike Kupinski at Noble. The ratings performance has been strong for the company you mentioned that, David, in your script. Mike’s question is, is ratings growth sustainable through the next – through the year?
David Field: Yes, again, we've been a leader with – in Nielsen ratings and I think that as a core part of our strategy investing in that great live, local personalities and content. You heard we mentioned the Padres deal, the renewal on the Red Sox and we think that by continuing to focus on that core element of what drives our business, absolutely we can continue to grow audiences into the future.
Marci Ryvicker: I love the way Marci Ryvicker at the Wells Fargo worded this next question. What got you over the edge to initiate a dividend?
David Field: Yes, Marci, it was time, and we've been very transparent in recent years about the fact that a dividend was something that our Board would look at when our leverage got into the low to mid four zip code. And we also prudently wanted to digest the Lincoln acquisition and everything came together. And the company is in a great place right now and our Board felt very good about moving ahead with the dividend at this time. It is also worth noting that it is only 17% of our free cash flow and that percentage will likely decline here as we go into successive orders. So it gives us great flexibility and wherewithal to continue to pay down debt and to look for other strategic opportunities should we find them compelling.
Steve Fisher: I guess I am going to address the next question to myself. Several people asked about the refinancing and I addressed some of that in my script and asked if the timing of the dividend was anyway linked to timing on the refinancing. So let me now turnaround and address the question and say absolutely not. The initiation of the dividend was totally independent of any refinancing. The company’s covenants allow for it to pay and have frankly for the past several months. I agree with what David and the Board's decision was to get past Lincoln to continue to delever and I like the way he phrased it, it was time. Now as I pointed out in my comments, several of you asked about future refinancing, would it be bank versus bond, the answer is obviously we’ll look at all of those. But as I said earlier in my comments as we continue to delever I think it opens up more opportunities perhaps for a company with an even stronger balance sheet. We are mindful of the bond premium and the step down on that in the ball and all that will factor into our thinking and the tradeoffs. Let me conclude kind of with another forward looking question David from many questions all linked together. First a question from Lance Vitanza at CRT.
Lance Vitanza: Are there any sellers out there with reasonable valuations and now linked to a common question from a wide variety of participants today in advance. Saying clearly CBS has announced a strategic decision, how should they think about CBS as it relates to Entercom?
Steve Fisher: So let’s link those two forward.
David Field: Sure, so as I think everybody knows we don’t speculate on potential acquisitions or other activity of the kind other than to note that we have been very consistent in noting that there are three fundamental criteria with which we look at any potential expansion which would be strategically fit. Can we accomplish it with and accrete value to our shareholders and do it without impairing our balance sheet. And so we’ll look at any and all opportunities as they may represent themselves in the future. I think the most important thing of course is to look at our track record and think about the deals that we did do and the deals we did not do and we feel pretty good about our discipline and prudent surround that. So as to what opportunities may or may not present themselves in the future we’ll take those one at a time and make sure that we stay true to what we’ve done in the past which we think has resulted in great outcomes for our shareholders.
Steve Fisher: So that’s our call. That’s the questions submitted in advance.
David Field: Great, well thanks everybody. Appreciate your being with us this morning and we’re excited about where we’re headed and look forward to reporting back to you again in another quarter. Take care.
Operator: That concludes today’s conference. Thank you all for participating. You may now disconnect.